Florentino Pérez Rodríguez: Good morning, everyone, and thank you for attending this ACS earnings presentation for 2022. Before we start, let me introduce the ACS executives who are here with me today. To my right, Juan Santamaría, our CEO; on my left, Ángel García Altozano, who is Corporate General Manager; and there's a few others scattered around the room. We're really happy to be able to, once again, have face-to-face presentations and see all these familiar faces in the room today. As always, at the end of the presentation, we'll have a Q&A session. So we can gear up any topics you might be interested in. And so that people following us online can also send in their questions through the platform. And before I give the floor to Juan Santamaría, I'd like to give you a quick summary of 2022, which I think we can say was an excellent year for ACS.  First of all, let me underscore the excellent performance of the different groups businesses, which, together with strong cash flow generation, have strengthened the group's financial position at the end of 2022. The group also has excellent growth prospects with a solid and diversified project backlog, mostly located in the U.S. and Australia markets, where the group has a clear market leadership.  I'd also like to point out the main strategic milestones of 2022, specifically, the strengthening of our Concession business with an acquisition of a majority stake of the SH-288 in Texas, which is one of the longest highways in the U.S. from a 22% stake to a 78% stake.  We've also simplified our corporate structure, which was another of our objectives. After the exclusion takeover bid for CIMIC and the increase in our HOCHTIEF stake up to 71%. That's another highlight of the year. And also progress in sustainability in connection with our 2025 Sustainability Master Plan as well as improvements in the company's corporate governance in line with the standards and international recommendations for good governance.  Let me now focus on the most relevant aspects of 2022's results. As I've mentioned, all our businesses have had an excellent operating performance with turnover of €33.615 billion, that's up over 20%. Our EBITDA was €1.747 billion. That's 9.4% higher than the previous year. And our net profit was €668 million.  I'd also like to underline our extremely solid financial position. At closing, our net cash position was €224 million, after having invested in different strategic transactions during the year, including the CIMIC takeover, for a total of €904 million, and the acquisition of an additional 15.1% stake in HOCHTIEF for €604 million. With that, we are in an extremely comfortable position for future investments in our group strategic development.  I'd also, thirdly, like to mention our backlog, which is a record high, almost €69 billion, thanks to growth in contracts, 7% in the year, over €39 billion.  I think it's important to point out also that practically, all our turnover comes from developed economies of the total €33.615 billion in turnover in 2022, 56% generated in the U.S., up 12.9% in local currency; Australia, 19% of the total, up 14.6% in local currency; and Spain, 9% of our turnover, up 6.1% in the year; Canada, 6%; and Germany, 3% of the total; and the rest of Europe represents 4%; Pacific, 2%; and South America, 1%.  As pointed out, the group's net profit exceeded the targets we had set at the beginning of the year and is up 66% in the year at €668 million. Contribution to the net profit of each business area is as follows: Construction with net profit of €350 million, that's 28.3% higher than the previous year; concessions with €194 million, of which €143 million from Abertis, which increased its contribution by 22% versus 2021; and the service businesses with a net profit of €27 million; and finally, our corporation contributed €96 million in profit, including the appreciation of Industrial's earnout for an amount of €65 million and the positive impact of the changes in the valuation of financial instruments linked to the ACS share, which, net of taxes and provisions, was €56 million.  And after this short introduction, I'm going to give the floor to our CEO, Juan Santamaría, so he can give you more details of the financial and operating performance of the ACS Group in 2022 and our outlook for the future. Juan, go ahead.
Juan Santamaria: Thank you very much, Chairman. Good morning, everyone. I'm going to start with a brief summary. I'll try not to repeat what the Chairman has already shared. Our turnover is up 20.8% versus 2021 or 11.6% if we adjust the impact of the foreign exchange. Our EBITDA is up 9.4%. Net profit, up 66% to €668 million. Our backlog is €68.996 billion, that's 8.3% higher than in 2021, and it's 5.4% higher if we adjust the exchange rate. Operating cash flow was at €1.333 billion, that's up over €1.1 billion versus the previous year. As a result, we've been able to reinforce the group's financial position. We closed 2022 with a net cash position of €224 million, after the significant strategic investments we've carried out.  Let's talk in more detail about our net profit. Construction business contributed €350 million to the group's profit. That's 28.3% more than the previous year. Of these, €239 million from the HOCHTIEF consolidation, without counting Abertis contribution, up 43%, thanks to the excellent operating performance and the decrease in minorities both in CIMIC and in HOCHTIEF; and €111 million from Dragados, up 4.8%.  Our Concessions business brought in €194 million in net profit, of which €143 million from Abertis, up 22% versus 2021, and €51 million from Iridium. Service business, the net profit of €27 million, down 6.4%, basically due to an increase in the effective tax rate due to the nonapplication of fiscal deductions this year. Profit before taxes, up 5%.  Last our business profit, up €572 million -- is at €572 million. That's up 21.8%. And our corporate headquarters generated a profit of €96 million, including, amongst others, €65 million due to the appreciation of Industrial's earnout and a positive effect of the variation of fair value of financial instruments linked to ACS' shares, which, net of taxes and provisions, was €56 million. Overall, our profit was €669 million. That's 66% higher than the previous year, excluding the contribution of Industrial Services in 2021.  Before continuing, I'd like to give you a description of the group's geographical diversification. As our Chairman explained, 97% of our revenue comes from developed economies. The U.S. is our biggest market, with 56% of our production and 49% of our backlog. Australia, Spain, Germany and Canada are the other markets -- the other leading markets for the group in the infrastructure sector.  During 2022, the ACS Group generated operating cash flow before variations in working capital or operating investments for a total of €1.7 billion. Operating cash flow, after deducting operating investments and variations in working capital, were €1.3 billion, a number which is practically double the equivalent figure of 2021, which confirms the recovery of our Construction business.  The ACS Group closed 2022 with a net cash position of €224 million, a solid financial position bolstered by strong operating cash flow generation, over €1.3 billion, which was used to, first of all, cover some one-off payments connected to litigation on old projects for a total of €318 million, most of them from a CCGP plant owned by Ichthys in Australia and a hydro project, Alto Maipo in Chile by HOCHTIEF, and also in Seattle at Dragados case.  And secondly, dividend payments, €531 million to ACS shareholders and €95 million to minorities in the group. Therefore, the group's financial position before strategic investments and treasury stock purchases, showed a net cash position of €2.3 billion. We've spent €1.7 billion in strategic investments, which can be summed up, first, with the takeover of 21.4% of CIMIC by HOCHTIEF for a total of €924 million; second, the acquisition of an additional 15.1% stake in HOCHTIEF by ACS for a total of €604 million; and thirdly, other investments for a total of €187 million, mostly in Australia with the acquisition of MACA and in the U.K. with acquisitions of service companies by Clece.  Also during 2022, we acquired some treasury stock over those necessary to pay our stock dividend for a total of €431 million. That's increasing total shareholder remuneration. And therefore, our net cash position, closing of the year was of €224 million.  Let's now look at the performance by business area. Construction sales totaled €31.43 billion, up 21.5%, thanks to the good performance of activities, both in Dragados and in HOCHTIEF. Taken together, United States and Canada represent almost 66% of the sales in this area. The region is quite clearly growing. That is the clear trend with an increase in sales of 26.4%, underpinned by the strength of the dollar. In local currency, sales increased by 12.8% in the region.  In Australia, sales are growing by 19.3%. That's 14.6% in local currency, thanks to the sustained buoyancy of the market.  Turning to Europe now. Sales represent 10% and show a favorable performance increasing by 3.2%, underpinned mainly by the Poland, Czech Republic, Spain and U.K. markets. Our EBITDA in Construction increased by 8.9% to €1.38 billion. The sales margin was, therefore, 4.4%. There was a variation -- slight variation in operating margin because of the change in the business mix, with a greater weight of construction management activities in North America developed by Turner and some circumstantial extraordinary impacts not related to the activities such as the deconsolidation of Ventia. As I already mentioned, ordinary net profit totaled €350 million.  At the close of 2022, our backlog in Construction totaled €66.08 billion, 8.6% up on the previous year and equivalent to 2 years of production. Our Construction backlog is highly diversified in terms of geography, activity and type of projects. Almost 70% of the backlog are reduced risk profile contracts, including construction management, our partnerships or other kinds of collaborations reinforcing our proximity to our customers.  Let me talk to you about our Concessions business now. Concessions EBITDA totaled €225 million. Abertis made a €167 million contribution to that figure, €22 million more than the previous year. Average daily traffic ADT for Abertis in the year increased by 8.2%, showing the growth trend in traffic and exceeding pre-pandemic levels by a consequence. The contribution in 2022 to the ACS net profit was €143 million compared to the €117 million for the previous year. This positive performance of the activity, driven mainly by recovery of traffic figures, offsets the exit from the perimeter of some concessions such as Acesa, Invicat and Sol.  Overall, Abertis net profit before the amortization of PPA totaled €668 million, while its net contribution to ACS profit was €143 million. That's a 22% increase on a year-on-year basis. In April 2, Abertis paid out €602 million in dividends. €297 million corresponded to the ACS Group. Iridium contributed €51 million in net profit with a bigger contribution in concession projects that have recently been commissioned.  Turning to Iridium, and this was mentioned by the Chairman in the key highlights for 2022. I would like to talk to you about how we've reinforced our Concessions area through the majority acquisition of the stake in the SH-288 highway in Texas. We now have a 78% stake. This is a concession that started in 2020, and it has performed very satisfactory in 2022. Income increased by 57% and EBITDA by 120% to $54 million. Tariff increases have been applied 16% in January 2023, with very little impact on traffic. This area is in a very high economic activity area with a higher-than-expected number of commercial developments.  Clece's sales in 2022 totaled €1.819 billion, up 10.7% compared to the previous year. Operating margins have remained stable compared to the previous like-for-like period and back at pre-pandemic levels. Our exposure to the national market is 89% in sales, that's up 8.1%, while the European market represents 11% and grew by 39%, driven by the recent incorporation of new companies acquired in the U.K.  The net profit here was €27 million, 6.4% down on the previous year because of an increase in the tax -- the effective tax rate because of the non-application of tax deductions in the year. In fact, the profit before minorities grew by 5%.  Let me now talk about the prospects of the future for the ACS Group in the global context of the market infrastructures and the strategic direction that we've taken, which will allow us to turn the challenges in the sector into opportunities for sustainable and profitable growth.  The global megatrends related to climate change, digitalization and industrial delocalization are becoming the main driver for demand in the sector. There is growing demand for more advanced, more sophisticated new generation infrastructure that are able to readapt quickly and constantly to new technologies. The ACS Group is in a unique position in the sector, thanks to its leadership in developed markets, together with its decentralized flexible and dynamic business model, which allows us to adapt very quickly to changes in the market. These are unique characteristics, together with the sound financial position that we have, give us a competitive edge, quite clear competitive edge to position us as a key factor in the transition of the sector to new generation infrastructures in this context.  All of the research in this sector, the macroeconomic research tells us that the estimated investment in infrastructure is going to grow substantially over the next few years, especially in developed countries. And specifically in North America, the expected growth in investment will be 7% annually in the period 2021 to 2026, supported by government plans, such as Infrastructure Investment Jobs Act and the Inflation Reduction Act with a total volume of investment that will be allocated at $1 trillion.  European countries are allocating around €900 billion to infrastructure projects as a way of stimulating their economies. They're investing to be able to expand the infrastructure network for transport, so they can reduce congestion, correct regional differences, strengthen public transport and drive the energy transition.  On top of that, there are EU investment plans to the value of $300 billion, also for the development of infrastructure. Australia is still booming investment-wise. It's a young country, with -- which is in a phase of expansion of its infrastructure network and has resources, both public and private, thanks to the pension plans that are particularly active in infrastructures.  The group's goal, then, is to focus, firstly, on reinforcing its position of leadership in our strategic markets; and also secondly, to take advantage of expansion opportunities in markets that are high-growth markets, high-tech infrastructure markets, energy transition and sustainable infrastructure market. To do that, we will continue to do what we can to reduce the risk in our backlog by having partnerships and other collaboration agreements with our customers, where we continue to boost our local capabilities.  Currently, about 70% of our contracts in our backlog are low risk. As a consequence of our growth strategy in new markets, we're increasing the volume of projects in energy transition; digital infrastructure; 5G; new mobility, which will be sustainable; the health sector and biopharma.  This strategy is based on 3 pillars: one, we are promoting our skills in engineering; two, we're continuing to develop digital innovation systems; and three, and lastly, we are transforming the management of our supply chains by creating logistics platforms in the United States and Asia. Now these changes are enabling us to position ourselves in the value chain in high-growth sectors, and we're supplementing this strategy with several acquisitions of specialized companies. In addition, we will continue to strengthen Concessions with investments in transport businesses, such as the example of the recent acquisition of the SH-288 highway in Texas, in Social Infrastructure and Energy and also in new sectors that we're focusing our growth strategy upon.  Let me give you some examples of the implementation of our growth strategy in new generation markets. I'd like to highlight some of the projects that the ACS Group has been awarded over the last 12 months. We are building, in joint venture, an EV battery plant for Honda and LG Energy in Ohio. The annual production capacity will be around 40 gigawatt hours for the -- by the end of 2025. The facility will produce batteries for electric vehicles as of 2026.  We've also been awarded a project to build a factory for recycled batteries, and that's a €1 billion project in Kentucky for Ascent Elements. It's the first plant of this type that will build and use a patented synthesis process to manufacture sustainable battery materials using recycled batteries and reducing waste and carbon emissions. Once the plant has been completed, it will create 400 jobs and will produce sufficient material every year to be able to support more than 250,000 EVs.  In Australia, we have been designated by Neoen to install infrastructure that will be high voltage for an energy storage system for batteries supplied by Tesla in Queensland, together with a solar farm in the same place, and we will have the energy supported for the group from 2025.  In Australia, too, we're building a new generation plant based on hydrogen in New South Wales. Pacific Partnerships, our Concession subsidiary in Australia that acquired the rights to develop the Glenrowan solar farm in the North of Victoria. That will be a solar park, and that will be managed by UGL, that will do the construction, operation maintenance.  CIMIC has a solid track record in renewable energy projects. And together with Pacific Partnerships, it will continue to drive actively our footprint in the renewable energy sector. The solar farm will be 245 hectares and will have an installed capacity of up to 130 megawatts and generate sufficient electricity to supply approximately 45,000 Australian homes.  In Europe, too, we have also been awarded JV contract to construct the battery cell factory that has a value of approximately €214 million in Germany.  With regard to our infrastructure projects linked to the implementation rate technologies, let me hand it to you several projects for data centers, so we've been awarded that to Turner in Virginia, Ohio, Missouri, Texas, Nebraska with projects managed by a team of about 1,000 specialists.  Also in Asia, through CIMIC, we are very active in the data center market and recently won a contract to build a data center campus for a multinational corporation in the tech sector, whose the details are confidential. In January 2022, the group obtained digital infrastructure contracts for a value of more than €3 billion.  Turning to transport and sustainable mobility. In Australia, through a joint venture with U-Go Mobility, we have won a contract, which is a multiyear contract, to operate a connected transport network, which is sustainable intermodal in Sydney. The contract, which will start in July 2023, has a term of about 7 years and will contribute to income to UGL totaling approximately AUD 250 million. UGL, CPP and Pacific partnerships, a part of the Canberra Light Rail PPP consortium, which is currently improving the world-class light train system in Canberra with new vehicles that will be wireless. And it's modernizing its existing fleet for a period of 20 years. UGL is also a member of the MTM company, which operates the rail network, which is the metropolitan network in Melbourne, at the same time, part of the consortium, which will operate the Sydney Metro Northwest.  In the biopharma and health area, Turner, will be building a pharma plant, that's USD 725 million in Colorado, which will be producing oligonucleotide, so to help in cancer treatment and treatment for other cardiovascular illnesses. The new health projects include the Children's Hospital in Boston, which we're building in Massachusetts, the project for the new emergency department at the Rochester University in New York and a radiotherapy oncology treatment center in California and Australia. We've been selected for the initial phase of the participation of a contractor to revamp the Royal Prince Alfred Hospital in Sydney.  CIMIC has also been selected by the government of New South Wales to undertake the construction of the main work for Stage 2 of the modeling of the Nepean Hospital. This work's package is part of the expansion improvement of the hospital part, which is being undertaken by the government for more than $1 billion. This is an example to show the direction of the sector that we would hope to lead in the future.  To end, let me highlight to you, we are a global leader in developed infrastructure markets with potential for growth with a robust backlog, which is highly diversified. We also have huge opportunity for growth in cutting-edge sectors. The strong generation of operating funds by the group with more than €1 billion in funds generated in 2022, before dividends and investment, will allow us to keep paying out attractive remuneration to shareholders and to continue to undertake our strategic investments that will drive results of activities long term for this year 2023.  Specifically, we're expecting our net profit for activities to grow between 5% and 10%. Thank you very much, and we'll take your questions now.
Q - Unidentified Analyst: I guess you're checking that -- yes, hello. In the sale of the 288, I understand that Abertis is looking into it. I suppose there might be others exploring that potential sale. But I'd like to understand the pricing power. We've seen a significant growth in soft caps. So where do we expect the asset price to go? We've seen comparables like Fe Royals assets with strong pricing power. I wonder if this company could have that sort of potential, and therefore, we could be talking about much higher valuations.
Unidentified Company Representative: Well, thank you very much. Starting with your first question about HOCHTIEF, our investment policy and our capital distribution policies, we always assess on a case-by-case basis. It's true that it's a good investment, but there are a lot of other potential good investments out there, and we try and capture the best opportunities.  As for that asset, the 288, we are talking to Abertis. These are other choices. Of course, the asset is a really excellent asset, and the managed lanes have been performing really well in the U.S. with a lot of captive traffic, plus the rate increase enables us to constantly appreciate the assets, cash flow generation. And of course, the characteristics of this asset make it particularly valuable, because that whole area is growing in Texas, particularly Houston, it's growing significantly faster than the national average, so it's an excellent asset. When you look at cash flows from 22 and 35 they grow exponentially like those of any other asset of these characteristics.
Unidentified Analyst: I have two questions. Two questions about what my colleague has just asked a moment ago. It's about Abertis really. What is your strategic plan as things stand today for Abertis? I believe since your acquisition, there have been 2 major acquisitions there by Abertis. 1 in Mexico and 1 in the United States. But if we look at ahead to the future of the highways, a lot of those that may come to the end of the contract in Spain and France, what can you do perhaps to turn Abertis around? That's my first question.  The second question is also about Abertis, and it's about these particular highways. The ones in France and Spain, as I said, that will be coming to an end of the term over the next few years. The message is being conveyed by the Spanish and the French government. Both of these governments really hasn't been very clear about what will happen when these concessions terminate in the future and what the business model will become [Technical Difficulty]. The microphone seems to have been switched off in the room. We can't hear the rest of the question.
Unidentified Company Representative: The answer now. Thank you very much. Let me start off with the first question you asked. Abertis has 2 clear growth streams. One has already been identified. That's the 288, which was clearly identified by us, and there are other opportunity out there that have been identified. And perhaps, the main concern would be covered by the analyst, I think, because you could have -- in the short term, it will be covered, and this would give -- they would get the contracts of over a long period of time.  So they're analyzing this. But then, there's the set up that will pay by for use. And I think at some point, this will actually come out, and there will be contracts for this. All countries are talking about this. They're talking about it from the concession point of view. But this is a whole new area that's being studied. There's nothing material tangible there, but we're keeping tabs on it. And we're very comfortable with Abertis opportunities there in the short term.
Unidentified Analyst: I have just one question. What you were saying, Juan, about opportunities in digitization and in the energy transition in the U.S. What are ACS' competitive strengths in order to capture part of that growth?
Juan Santamaria: Well, actually, there are several. What ACS has, first of all, of course, is tremendous geographical diversification. And we're in locations with -- or we have a footprint, which very few companies have. And that's really important in the sector we're discussing. Only Turner is present in 47 U.S. states. And speaking about any of these industrial plants, whether it's batteries or data centers or the future 5G infrastructure, the logistics and also the ability, not just to build the infrastructure, but also to cover the whole supply chain life cycle is crucial, first of all.  And secondly, nowadays, one of the challenges that are affecting company's future prospects are its ability to recruit talent. And because we have that geographical diversification, we are in so many different sectors, we have been tremendously successful in recruiting talent.  This year, we've hired over 1,000 young engineers just for the construction of the new infrastructure. And so on the one hand, in terms of the logistics, we reinforced our position with the 2 hubs, the Asia, one on the American, one. And have we been attracting more talent, and we've been investing for a long time in digital capabilities. All of these projects are very much targeted at private customers. So you need to have the engineering capabilities and the sales capacity, but you also have to have systems compatible with theirs. And HOCHTIEF and all of the other companies have been investing in these technologies for many years. And so when we start working with one client, we can work globally in the U.S., then Australia and then globally.  And in fact, if you remember, in June, we had an initial meeting in which we started talking about strategies. And we started to talk about these things. And you asked the same question, what were our competitive strengths in those markets? And we've gone from being pretty minor to having 40% of Turner's backlog in all those infrastructures.  We have over €3 billion in backlog for data centers and over €2 billion -- €2.5 billion, in fact, for battery projects; and in pharma, over €1 billion. And that gives you an idea of how dynamic the company is when deploying all these new strategies.  But of course, what matters is what comes next. Right now, we're establishing significant partnerships for hydrogen projects, even though that's more medium and long term, and also for semiconductors, also medium, long term, which we hope to materialize. And so we are very much following the strategy we had designed for the energy transition and the digital markets.
Unidentified Analyst: An additional question. The cash conversion for this type of strategic lines, is it better or worse than your traditional business lines?
Unidentified Company Representative: Well, all of these contracts, we are approaching just like Turner approaches its traditional projects. The more sophisticated and the more added value you contribute in the engineering, the better the risk profile. And normally, the cash conversion is 100%. There's no early payments, but it does have a 100% cash conversion.
Unidentified Analyst: A question, because I'm not quite sure about the strategy for infrastructures. So the acquisition of the SH is an opportunistic purchase? When you're talking about new opportunities, does that mean that you might eventually have portfolio of mature infrastructures and ACS outside of Abertis parameters that's possible? Because up to now, you had Iridium, which obviously was divesting of concessions as they matured. But now I'm not quite sure whether we might not see more cases like the SH or whether it was just a one-off opportunity.  Also, I think a year ago, you said that 20% stake of HOCHTIEF in Abertis might be transferred up to the ACS group. I wonder if you're still thinking that way or where we are?
Unidentified Company Representative: Well, first of all, the 288 is not an opportunistic investment. We still have a clear concession strategy and the 3 pillars of that strategy is still clear. First, Concessions. Second, strengthening our construction backlog, reducing risk, and that has significant organic growth in itself. And the third is what I explained earlier. But concessions is not an opportunistic investment. In fact, we've just announced an acquisition, which is also an investment in new assets, and we're still exploring possibilities. I think, in fact, there will be many opportunities for growth opening up now.  Might we lead or let Abertis lead or transfer part of the assets to Abertis, that's a possibility. Might we retain all the concessions in our own portfolio, that's also a possibility, but we're analyzing the different possibilities. And as for the 20%, it is part of the exploring the possibilities that we're doing, but it could remain within HOCHTIEF. We haven't really made a choice yet.
Unidentified Analyst: I had a couple of questions for you. The first one is could you update for us on what's happening with Da Vinci partnership? That was for renewables, wasn't it? Has that moving forward? Will there be projects delivered soon? The second one is about your dividend policy. The €2 per share dividend, is that a policy that might change? Could it be dependent on a growth-related payout in the future? Could you perhaps shed some light on that for us?
Unidentified Company Representative: That partnership is going. Well, you've seen Vinci's results and a couple of new renewables projects have been announced, and we're there in that alliance, that partnership. So that will become tangible. We're happy with that.  Turning to the dividend. The question about the dividend is a question I'm going to answer for different perspectives. First, 2022, look at the figure that we have, the €1.33 billion that we have produced in funds, so you have to then do the deduction. So you've got €1 billion before investment.  And then we have 0 net debt. So we have positive cash position. That also matters for a decision. But there's another way of looking at this. We are pushing -- we are transferring 100% of our Abertis dividend to our shareholders. If you discount from the dividends that we collect in properties and pay out to the shareholders and the net profit we get from Abertis, then it's 50% the payout, which is pretty reasonable.  So do we expect the 50% to be maintained because of the profits we'll get from Abertis and the investment we're making? Yes, yes. Well, is this sustainable over time? Yes. And in addition, part of what we get from them in dividends, of course, that also have an effect on the value of our derivative going up.
Unidentified Analyst: Could I ask another couple of questions? The first one, what is your capability? What is your firing capability? How far could you take the leverage position with regard to your derivatives? And then we've seen that you've done a lot in managed lanes. You have the 288 project, which has been very successful in this segment. Do you think you'll be reactivating your pipeline there? Will there be more projects coming out of that and the Trans-urban projects, et cetera, et cetera?  Will we see ACS Iridium? I'm not just talking about Abertis, but more present in the managed lanes in the future, I mean -- Or is that too risky?
Unidentified Company Representative: Let me start off with your first question. Are you talking -- perhaps could you ask the question again?
Unidentified Analyst: No. Well, to answer it, it depends on the asset that we buy. There are some assets that are being -- that are being bought at 10x EBITDA. So do you have to assess each one in turn?
Unidentified Company Representative: Right now, we have net debt with EBITDA we've got. I think you could multiply it by 2.5x and 10x. So yes, a lot of our [indiscernible] because simply what we've been doing is simplify the minority structure with HOCHTIEF and undertake strategic investments such as MACA and a few other small projects that help us with our growth position.  The Managed Lanes question, this is an asset that we like. It performs really well, and we think there are -- there is growth upside there in the U.S. And so we do see that this is a big opportunity for us in the 288. Well, we did compete with Varian in its day, but also with other projects.
Jose-Luis del Valle Perez: Let's now move to the questions that are coming in online. Several analysts or investors who were unable to be here in person. Frequently asked question, it's about construction margins. They refer specifically to the others, and they are asking why they are down or whether we are getting to the end of that downward trend and what the prospects are for the future.
Unidentified Company Representative: Thank you, Luis. Basically, our future margins, I'm going to speak about each sector individually, but we are optimistic, and we believe that they will stabilize in construction and in services. And in new infrastructures, they will probably even go up, because as we get into more sophisticated projects, margins are higher.  Before I speak about Dragados, I'd say that when we talk about the growth of our backlog, most of the projects we mentioned in the presentation are not yet in the backlog. Because what Turner UGL should do is to just include the first part, which is the engineering. So that backlog is actually going to grow significantly and something which happened in Dragados in Q4, which is very positive.  I don't know whether it's been interpreted properly. But when we look at our backlog, roughly 70% is already in low-risk assets; 30%, traditional assets. But those traditional assets in that 30% have inflation protection, that is we don't want to, once again, live with the impact that hyperinflation had on the construction sector between 2010 and 2018. And that's why in all of our contracts, we include inflation protection clauses.  And when that is applied, when we get that additional revenue, of course, that doesn't include margin. So it's okay, I'm going to pay for additional inflation costs and then give you a 10% margin, that doesn't happen. So by year-end, we've had that inflation compensation without margin, but that's not in our backlog. And our backlog, we don't consider increased sales due to inflation with that 0 margin. That's not included in our backlog. And so do we expect the construction margin to remain stable and other margins to go up? As I mentioned, yes. But if, at some point, there's hyperinflation, we will be remunerated without any margin added to that, and that brings down the average margin. I explained that in the HOCHTIEF presentation in Germany.  But basically, HOCHTIEF America is an accounting impact. There is a decrease, but it's mostly because each year, Turner is between 2.1, 2.5 in profit before tax. The more of the equivalent method you use, the higher the margin when Turner or some of these other sources start consolidating through the proportional method. You get the revenue and you get the margin, and that means the average margin comes down. So there is that factor.  And in the case of Australia, it's simply due to rising interest rates.
Jose-Luis del Valle Perez: There is another common theme to the questions that have been sent in to us, and that is the funds generated by operation, the €1.3 billion, the more than €1 billion is generated this year. There's a little bit of surprise that people are pleasantly surprised and wondering how we managed to hit that figure when our profit figures around 700 or more or 800. We include HOCHTIEF is some connection there to the working capital figure, which has been performing well and might have helped out there?  And there's a specific question about Abertis dividend that apart from Abertis and Thiess, is there any other dividend we get from any other subsidiary companies?
Unidentified Company Representative: Thank you, Luis. Let me start off with our operating funds. So if you look at our working capital, apart from the fact that it's performed well, because sales have grown by 20%, nevertheless, customers' up 15%. And on the other hand, we have increased the debtors there. So all of this can be seen in that working capital.  But in other debtors, there are 2 points there. We have taxes. And of course, we have receivables there, including industrial. So all of that has had an impact on the good performance, dividends. And specifically, apart from the dividend we get from Abertis, we get the dividend from Ventia and from Thiess. And all of that, because they are not consolidated companies, so they come in as a financial contribution.
Jose-Luis del Valle Perez: Could -- we're also asked whether we can give an estimate about the future cash flow figure. Will it still be as strong?
Unidentified Company Representative: Thinking about the cash flow from operations as well as free cash flow in general, yes, in general, we are optimistic, and we believe that we will be able to continue to generate good cash flows because of the growth strategy that we're undertaking and the consolidation of our market.
Jose-Luis del Valle Perez: There's another frequently asked question about financial expenses. There are some questions about why have increased in the second half of the year, but also what do we expect for the future? That is with our current gross debt level, will that have an impact because of rising interest rates? Will it mean higher financial expenses? What do we think about refinancing, particularly for construction, which is the biggest debt volume? And how do we think our return on financial investments will evolve?
Unidentified Company Representative: We're starting with the first, variation in the year, simply because up to Q3, we had -- well, we were netting financial costs due to changes in valuation of derivatives plus some other instruments. And that's why there's been that change in the Q4 versus the other 3. That's one thing.  And then on the other hand, for the future, Luis, I'm sorry, the question was?
Jose-Luis del Valle Perez: What do we expect our financial cost to do in general, particularly refinancing in construction for HOCHTIEF and Turner.
Unidentified Company Representative: Of course, Turner has a lot of cash, with CIMIC and Dragados too. But 80% of our debt is long-term debt. And that also is the reason why we have that strong cash position in spite of having that debt as well as the fact that during the pandemic, we decided to have a big liquidity buffer. But that long-term debt are bonds issued, which we're not going to refinance.  We also have some debt in Thiess that we will refinance and we're working on that, and that is affecting that increase in financial costs due to rising interest rates, as I mentioned before. And you'll also see an increase in HOCHTIEF because of the corporate debt, which is not as long term in which we are refinancing. But I think that may be offset with the growth in sales of the business.
Jose-Luis del Valle Perez: And there's a question where they're asking a confirmation on the increase in rates, which has benefited the SH-288, that 20% rate increase, and what the implications are for valuation of that asset and for any potential sell he says to Abertis.
Unidentified Company Representative: Well, that's a fact, and that has had a positive impact on the asset valuation as well as the other rate hikes we have right to do under the terms of the contract. And there are different mechanisms based on traffic volume management and even some caps that can be exceeded at certain points.  So all of that is taken into account when assessing the value of the asset, plus some conservative tax assumptions we had used in our calculations, which have been confirmed and actually improved on, because we thought there was going to be a change in the tax regime in the U.S., which has not materialized because the Republicans in the end, of course, did not support it in the Senate.  And also, the asset we have, there was recent changes in [indiscernible], which is the Texas operator, which have had a very positive impact on the asset because of everything to do with video tolling and ways to reclaim that from those who had not paid. And so it's -- all of that contributes to improving the valuation of that asset. Plus more significantly every year, every day that goes by, discount future flows is closer, and that means also higher valuation.
Jose-Luis del Valle Perez: Let me read out this, the next question is interesting. Are you building a new Cobra to be able to undertake the digital and energy transition business in respond to evolution of the market versus the old brick-and-mortar typical traditional business?
Unidentified Company Representative: No. We're not rebuilding Cobra. The infrastructure that we're focusing on now are not the type of infrastructure that Cobra was involved in, in the past.  And the question about more brick-and-mortar business, I think that in my presentation that, apart from the consolidation of the market, which is a good thing for us, I think traditional construction is there. I mean, we protected them from inflation in the supply chain. So we've got that safe asset there. That being said, in addition to that solid, safe asset, we're also growing in the other markets that I talked about.  There's a question, too, about our relationship with Atlantia and whether there may be a 50% acquisition of their stake in Abertis. And that option is not on the table at the moment. We have a good relationship with Atlantia, and would -- we expect to have a good future with Abertis.
Jose-Luis del Valle Perez: And then there's a general strategic question about the estimate that we have for profit for 2023 and dividend, too.
Unidentified Company Representative: Profit. I think I said that, between 5% to 10% increase in the presentation was the figure I gave. And dividend, I think the way things stand today with current -- it's the current figures that we have.  I think -- we've run through all of the questions. I don't know whether anybody else in the audience would like to ask another question. 
Unidentified Company Representative: So that brings this event to an end, if there's nothing else from anybody then, we will bring this presentation to an end and invite you to join us here for a drink and a snack. And we can talk about, unless there's anything else you'd like to talk about here in [indiscernible]. Thank you.